Operator: Good afternoon, ladies and gentlemen, and welcome to Eni's 2012 Fourth Quarter and Full Year Results Conference Call hosted by Paolo Scaroni, Chief Executive Officer; and Massimo Mondazzi, Chief Financial Officer. [Operator Instructions] I'm now handing you over to your host to begin today's conference. Thank you.
Paolo Scaroni: Good afternoon, ladies and gentlemen, and welcome to our conference call. I will take you through some of the highlights of this year, and then I will hand you over to Massimo Mondazzi, our CFO, who many of you know well from his time as deputy CFO of Eni and in key positions in E&P, for a more detailed look at the Q4 and full year numbers. With regard to the highlights in 2012, Eni delivered a robust performance. On top of that, we have fundamentally changed the profile of our company. Eni is now financially stronger and more focused. Our balance sheet has been transformed through the disposal of significant stakes in Snam and Galp, we have reduced net debt by almost EUR 13 billion, bringing our leverage to 25% from the previous 46%. Our remaining stakes in Snam and Galp are worth around EUR 5 billion at current market prices, and we will continue to push new value-creating opportunities. The transformation of our balance sheet has gone hand-in-hand with that of our long-term growth prospects. Exploration has been truly exceptional. In 2012, we have added over 3.6 billion boe of new resources or almost 6x our 2012 production. And this is not just Mozambique. We have also had significant success in the Barents Sea, West Africa and in Egypt. And through efficient project sanctioning, we have achieved an organic reserve replacement ratio of 147%. We are on track with our major development projects. In particular, we are pressing ahead with Mozambique, thanks to the agreements tracked with Anadarko in December and confirmed FID by 2014. And with regards to Kashagan, we are progressing steadily towards completion, and we will start up before the contractual date of June 2013. Of course, growth needs to be built on a secure base. And on that front, you should note that Libya has delivered a robust performance with a quicker ramp-up than many were expecting, although there is still a shortfall compared to prerevolution production levels. While Eni's value-creation opportunities have never been stronger, reaping the full benefits of this transformation requires structural reform of our mid and downstream businesses. In Gas & Power, we have seen continuing demand distraction. In 2012, consumption was 6% lower in Italy and in key European countries year-on-year and 12% lower compared to precrisis 2008. This has prevented European oversupply from being absorbed and spot prices from closing the gap with oil-linked prices. In this context, our focus is on the renegotiation of our supply portfolio. We have now opened renegotiations regarding around 80% of our supply base. At the same time, we have focused our commercial efforts on segments in which we can add value, such as retail and LNG. On top of that, we have launched a reorganization to integrate the supply activities of Gas & Power and R&M together with trading [ph] risk management and the wholesale commercial activities of Gas & Power, including LNG. This integration will allow Eni to capture synergies between supply, trading and sales, which are becoming increasingly interconnected as the market for natural gas becomes more liquid. This activity will be led by Marco Alverà, who's currently in charge of our trading arm and in the past has run the supply activities of Gas & Power. Turning to R&M. Here, too, we are facing unprecedented product demand declines, down 10% year-on-year in Italy, adding further pressure to Europe's structural refining overcapacity. We have made progress in aligning capacity with demand through the temporary closures at the Gela, Venice and Taranto refineries and have reduced cost by over EUR 100 million. Lastly, Versalis has experienced the worst scenario on record with high naphtha and utility costs and low prices for commercial chemical -- for commodity chemicals. We are working to reduce our exposure to loss-making commodity chemical while at the same time striking international alliances to strengthen our position in more profitable niches. Overall, 2012 was a strong year for our company with robust results in E&P and good progress on the restructuring of our downstream businesses. As a result, the Board of Directors intend to submit a proposal to the AGM for a full year 2012 dividend of EUR 1.08 per share. And now over to Massimo for a more detailed look at our numbers.
Massimo Mondazzi: Thank you, Paolo. In the fourth quarter of 2012, the market environment was mixed. The average Brent price was $110, slightly up versus last quarter and year-on-year. Refining margin in the Mediterranean area remained volatile. And the Brent/Ural margin dropped down from the high level seen in the third quarter to around $2.8 per barrel, 10% lower than the same quarter last year. Despite the improving trend of the euro against the U.S. dollar, comparing fourth quarter 2012 with fourth quarter 2011, the U.S. dollar has appreciated 3.8% versus euro. Before we turn to our results, you should note that following the sale of the 30% of Snam to Cassa Depositi e Prestiti, which occurred last October, on the fourth quarter, Snam is completely deconsolidated while a portion of the so-called continuing operation contribution under IFRS 5 was present in the fourth quarter 2011. As you may remember until third quarter 2012, continuing operation included the result of Snam's transaction with Eni. This change in perimeter affect our year-on-year comparisons. In terms of adjusted operating profit, in the fourth quarter 2012, we reported a 17% increase to EUR 4.96 billion. Excluding Snam from fourth quarter 2011, Eni would have reported an increase of approximately 30% in adjusted operating profit. The result reflects a robust operating performance in Exploration & Production division, up 15.4%, also due to the ongoing production recovery in Libya. Gas & Power reported a profit reversing the prior year loss driven by the Marketing activity, which benefited from the renegotiation of certain supply contracts and the ongoing recovery of Libyan supplies. Refining & Marketing reported a substantial reduction in operating losses, driven by efficiency and optimization gains. Turning now to the adjusted net profit from continuing operation. In fourth quarter, it was EUR 1.52 billion, a 3.6% decline year-on-year. Adjusted for this nondeconsolidation, this metric would have shown a 9% gain year-on-year. The fourth quarter net profit was also impacted by a higher-than-average adjusted tax rate of 67.3%, affected by a writedown of deferred tax asset accrued as adjusted profit in the previous quarter of this year. Excluding this effect, the fourth quarter tax rate would have been 62.5%, still higher than the 56.4% recorded in the corresponding period 2011 due to the high E&P tax rate and the lower result from associates. I'll now give you some highlights for each business. First, E&P. In the fourth quarter of 2012, reported liquids and gas production was 1,747,000 boe per day. This figure is calculated assuming the new Eni conversion rate of gas to barrel equivalent, which was also used in the third quarter. Performance was sustained by a recovery of the activity in Libya with start-up and ramp-up of fields, particularly in Russia, and higher production in Iraq. These positive factors are partially offset by the shutdown of the Elgin/Franklin field in U.K., force majeure events in Nigeria and mature field declines. Stronger production led to higher E&P EBIT, which was up 15.4% to EUR 4.86 billion. And now Gas & Power. In the fourth quarter of 2012, despite the contraction in European demand, Eni's gas sales of 24.4 billion cubic meter were in line with the fourth quarter 2011, excluding the impact of the Galp disposal. Eni's sales in Italy increased by 9.1% from the fourth quarter 2011. The positive performance was driven by increased sales of certain Italian spot exchanges to wholesalers and industrial customers following the positive effect of commercial initiatives. The increases were partly offset by lower sales to the power generation sector, reflecting the ongoing economic downturn while sales to residential customers were stable. Increase in the sales in Italy was offset by the fall in European markets, which on a comparable basis, were down 8%. This decline is mainly attributable to the U.K. and Northern Europe due to the unavailability of gas as a result of the accident which occurred at Elgin/Franklin and the Iberian Peninsula market, which was down 9%. In terms of economic result, in the fourth quarter 2012, the Gas & Power division reported an adjusted profit of EUR 41 million, reversing the loss of EUR 72 million in the fourth quarter of 2011. This performance was driven by the Marketing activity, which benefited from the renegotiations of certain supply contracts in the ongoing recovery on Libyan supplies. These positives were partially offset by lower sales prices due to the current demand downturn in gas and electricity and strong competitive pressures. The International Transport result that generated a result of EUR 75 million was broadly in line with the same period 2011. As you may recall, a number of our Gas & Power activities, among which Union Fenosa Gas and Galp, are not consolidated in EBITDA. Income from these associates in the fourth quarter accounted for EUR 23 million versus EUR 93 million last year, impacted by the European recession and lower income from Galp following the sale. As for R&M in the fourth quarter 2012, it recorded an adjusted operating loss of EUR 9 million with a significant improvement for the fourth quarter of 2011, reflecting the efficiency gains and optimization measures, lower throughputs at less-competitive plants and better Marketing performance due to additional sales to the Italian wholesale sector as a consequence of the shutdown of certain competitor refineries. These positives helped to mitigate continuing margin weakness and volatility. Finally, the other businesses. In the fourth quarter of 2012, the Chemical division reported an adjusted operating loss of EUR 117 million. Improved performance versus last year was mainly due to slightly better margin at cracking plants, which benefited from lower supply costs of oil-based feedstock and efficiency measures. Engineering & Construction segment reported a lower adjusted operating profit, which was down by 18.7% in the fourth quarter of 2012 to EUR 317 million. Other activities was in line with the previous year, while corporate shows a loss of EUR 83 million compared to EUR 19 million last year, as a consequence of lower contribution from Eni Insurance, the group insurance captive company, related to the increase in claims settled. In line with our new structure, we have strengthened our net debt position, which as of December 31, 2012, amounted to EUR 15.4 billion, a reduction of EUR 12.6 billion from December 2011. Net cash generated by operating activities was EUR 12.4 billion in the year. It was impacted by deterioration of working capital of EUR 3.4 billion due mainly to the Engineering & Construction business and Gas & Power, because Gas & Power payment has been delays from client and take-or-pay prepayment to suppliers and the general deterioration in European economic environment. Capital expenditure amounted to EUR 12.8 billion and may relate to the continuing development of oil and gas reserve and the upgrading of Saipem's offshore vessels and drilling units. Financial investment amounted to EUR 0.57 billion. Dividend payments to Eni and minority shareholders were EUR 4.4 billion. Our balance sheet transformation was driven by the streamlining on our corporate structure. Asset disposals mainly related to the sale of 35% of Snam and 9% of Galp and upstream assets, including 10% stake in Karachaganak generated proceeds of EUR 6.6 billion and a consolidated EUR 12.4 billion of debt. The stronger balance sheet position has been accompanied by an improvement of our cash and cash equivalent position from EUR 1.5 billion at year end 2011 to EUR 7.8 billion at year end 2012. Thank you for your attention. Now I will hand you over to Paolo for his final remarks.
Paolo Scaroni: Thank you, Massimo. Looking forward to 2013. In E&P, we will grow production by over 3% at our planned scenario of $90 a barrel, driven by key startups such as Kashagan, Angola LNG and the Algerian projects. We will also continue our focus on exploration and target over 1 billion boe of new resources. In Gas & Power, we expect results to be lower than those reported in 2012 owing to significant competitive pressure, especially on the oversupplied Italian market. We will contain the impacts of the market deterioration by accelerating our renegotiation efforts with all our major suppliers. In R&M, we expect results to be better than those reported in 2012 as cost efficiencies and a stronger retail performance will more than offset the expected deterioration in the refining environment and weak product demand. CapEx will remain broadly in line with 2012 and will be mainly focused on the development of our new major projects. This will continue to fuel Eni's growth in the future, a theme which we will discuss further in our strategy presentation next month. Thank you for your attention. Massimo and I, together with other key managers from the business units, will now be pleased to take up your questions.
Operator: [Operator Instructions] This question comes from Mr. Theepan Jothilingam from Nomura.
Theepan Jothilingam - Nomura Securities Co. Ltd., Research Division: Two areas, please, I'd like to make my questions on. Firstly, just on Kashagan. Could you talk about the exact milestones that you now need to reach first oil, and then the speed-up -- the speed of the ramp-up to the threshold for commercial production, and if there is a number that you may give that you've assumed in terms of the contribution from Kashagan to 2013? My second question comes on to Algeria and the recent news flow around Saipem. I want to know, has Eni executed its own internal investigations on activities and relationships in Algeria? And then has the company taken any further steps there? And are you comfortable with your corporate governance?
Paolo Scaroni: Thank you. Claudio will answer the first question on Kashagan. I will answer on Algeria.
Claudio Descalzi: So Kashagan, so we have 3 main milestones. The first is onshore. We have to finalize the completion by March, and then we start testing with the gas [indiscernible]. And we have finalized the completion, mechanical completion onshore. And we are to start -- we finalized the completion onshore for the second train by April. So that are the main milestones. In term of production, we budgeted about -- a contribution, our equity about 19,000 barrel per days for 2013.
Paolo Scaroni: And now on Algeria. First of all, thank you for your question. Before going into the details of it, perhaps it would be useful to set out my thinking on the whole subject. First of all, Eni's policy is that nothing illegal is ever acceptable. It is perfectly possible to do business anywhere in the world without paying bribes. And if it wasn't, we wouldn't do business there. That needs to be crystal clear. Second, to ensure that our actions are compliant with our policy, since I joined Eni in 2005, I have ensured that no contracts with intermediaries were entered into. In addition, we have introduced strict anti-bribery processes and procedures which are recognized as some of the best in the world. Bribes are not only illegal, they would also damage our business. Our reputation has always been one of the major drivers of our growth. The goodwill this creates has made Eni one of the major companies in our sector. Now specifically with regards to Saipem, which is an independent listed company, neither Eni nor I have any involvement whatsoever with the alleged practices under investigation. Indeed, when we found out about the allegations at the end of 2012, in line with our role as major shareholders, we made our concerns known to the board of Saipem, suggesting they take all appropriate measures, including possible management changes in order to rectify the issue. This step indicates our zero-tolerance approach on this subject. While any wrongdoing will need to be evaluated by the Italian magistrates, we felt our concern was justified by the red flags, which the investigation raised on Saipem's processes. More specifically on your question, we commenced our own internal audit with a view to act in a completely transparent method. And as far as our procedures are concerned, particularly our anticorruption procedure, we believe that we are at the top of the best practices in the world as far as Eni is concerned.
Operator: Next question comes from Mr. Hootan Yazhari from Bank of America Merrill Lynch.
Hootan Yazhari - BofA Merrill Lynch, Research Division: I just really wanted to focus around the gas renegotiations, which you say are underway. Maybe you can give us some color on how receptive your gas suppliers are to renegotiations, whether they're going to be applied retroactively like we saw last year. And we obviously had a very good first quarter result in 2012, and whether we could potentially expect similar sorts of effects coming through from renegotiations there. And the second thing, I just wanted to move on to Mozambique and just get some -- just get an update in terms of how the asset negotiations are going there with your partners and whether you're looking to farm down. And indeed, has there been any progress on farming down your 70% stake?
Paolo Scaroni: Very good. Now on the first question, I will ask Marco Alverà to answer.
Marco Alverà: Thank you, Paolo. I would like to say without going into the specifics of each contract that, if on the one hand, the increasing liquidity at the hubs is putting severe pressure on our commercial margins, on the other hand, this increased liquidity is giving us some benefits in the negotiations as the suppliers are now finally coming to terms with the fact that liquid markets and hub markets are to be reckoned with and have to be taken into account into the contracts. We're in an unprecedented phase where we have effectively all our major contracts open. That's about 80% of volumes. We expect to close most of these in 2013. The timing of the closing of these is not predictable because it's a lengthy negotiation. So we expect some volatility in the quarters as when we close, we also have retroactive impacts on the accounts.
Paolo Scaroni: Okay. Very good, Marco. With regards to Mozambique, this has been an exceptional success for Eni. We have now 75 tcf of gas in place and an agreement with Anadarko that basically means we can go ahead with the development at full tilt while fine-tuning unitization agreement. Now we are very happy to be sitting on 70%, or 75 tcf, and are progressing towards FID by 2014. However, if we were to receive an offer of a strategic alliance which adds value to the project, we would, of course, consider it and inform the market upon its signing.
Hootan Yazhari - BofA Merrill Lynch, Research Division: Wonderful. Just a follow-up on that. How comfortable are you going to FID on the Mozambique project without having announced major offtake agreements for gas just as yet?
Paolo Scaroni: Claudio?
Claudio Descalzi: So the answer is that we don't get any asset, really, without any contractual option on the offtake. So that is one of the conditions. And we are working on that.
Paolo Scaroni: Of course, you know that we have KOGAS as one of our partners, as well.
Claudio Descalzi: Yes. And there were also 2 other [indiscernible], because this gas is a good and cheap gas, so it is very competitive.
Paolo Scaroni: And well positioned as well.
Claudio Descalzi: It's very competitive in the market point of view.
Operator: Next question comes from Mr. Nitin Sharma from JPMorgan.
Nitin Sharma - JP Morgan Chase & Co, Research Division: Two questions if I may. First one is on your guidance. You've guided to a no change in gearing in 2013 versus 2012 under $90 oil price scenario after factoring in portfolio management. My question is what extent of portfolio management have you factored in? For example, does it include any further stake sale in Galp? And the second one on dividend, what is your thinking on both the dividend policy and payout in 2013?
Paolo Scaroni: Okay. Massimo will answer the first question, and I will answer the second one.
Massimo Mondazzi: Okay. As you can imagine, we are unwilling to disclose our assumption as far as the disposal are concerned. So I understand your point, and I'll try to give you a different guidance if I may. So if -- I would say if we imagine the current scenario, I mean, Brent price around $110, and we assume still a negative and deteriorating environment in Gas & Power and downstream, and euro versus dollar exchange rate of around $1.3, I would say that the in-leverage [ph], it should be just slightly higher than what we experienced in -- at the end of 2012.
Paolo Scaroni: Okay. As far as dividend is concerned, you took note that our final dividend for 2012 is up 3.8% year-on-year. As for next year and in general for our future shareholder remuneration policy, we will give you further detail at our strategy presentation in March.
Operator: Next question comes from Mr. Oswald Clint from Sanford Bernstein.
Oswald Clint - Sanford C. Bernstein & Co., LLC., Research Division: First, just on the upstream earnings in the fourth quarter, which looked very strong. Can you just talk about if there's anything there on the cost side or talk about cost in the 4Q relative to the last couple of quarters? And also when you have a force majeure in Nigeria, does that mean you don't pay royalties? And therefore, was there royalties not being paid in terms of fourth quarter? And then secondly, just on Libya, you mentioned there's still a bit of a shortfall versus previous production levels. Do you expect to get back to those levels? And if so, over what time period?
Paolo Scaroni: Claudio will answer both questions.
Claudio Descalzi: The 3 questions are on -- so cost. In 2012, we have been quite good on cost because we reduced our operating cost and we are in the range of $6.7 per barrel. That is one of the best in the industry, and that is also all the reason of our best result. So cost is quite good, and that could be also true looking forward. For Nigeria, when we don't produce, we don't pay royalties. So the royalties is going to production. And for Libya, as you said, we are -- our performance in 2012 is quite good. The average is 255,000 barrels per day, and that also was our target. We think that we can recover full production by 2013 or -- about to say in 2014. And so in 2013, we continue progressively increasing and updating our project and our maintenance.
Operator: Next question comes from Ms. Irene Himona from Societe Generale.
Irene Himona - Societe Generale Cross Asset Research: I had 3 questions, please. Firstly, in 2012, did you have some take-or-pay obligation? And if so, could you give us the cost and the volume? Secondly, you point to 2013 production growth at $90 oil of over 3%. Can you just remind us of your oil prices in terms of the PSA effect? What would it be at the current prices? And thirdly, in 2012, you had a EUR 4 billion asset impairment, of which EUR 2.8 billion in Q4 [ph]. It's a substantial amount. Can you just remind us of what it's made up of?
Paolo Scaroni: Okay. A quick answer to your first question, we had a take-or-pay of EUR 500 million in 2012. On the second question, Claudio?
Claudio Descalzi: On the second question, at the to-date production, the growth should be 2% instead of 3%.
Massimo Mondazzi: Sorry, Massimo speaking. As far as impairment, the total impaired costs are EUR 2.9 billion in the fourth quarter 2012. So some color, around EUR 500 million, relate to the E&P assets, some assets in U.S. and in Middle East. All this writedown relate to, I would say, industrial and industrial reasons. The majority of the total writedown relate to Gas & Power. Total amount is around EUR 1.6 billion and relate to the writedown of the Distrigas goodwill rate [ph]. For your information, the remaining goodwill at year end is around EUR 400 million. And the remaining part related to the Refining & Marketing, the writedown amounts to around EUR 600 million and relate to some refinery plays we have in Italy.
Operator: Next question comes from Mr. Alastair Syme from Citi.
Alastair Roderick Syme - Citigroup Inc, Research Division: Can I just ask for a bit of disclosure around the reserve replacement figures for 2012? What are the big moving parts in the 1 billion barrels that you've added?
Paolo Scaroni: Claudio?
Claudio Descalzi: So the replacement. So this year, one of the main contributors in term of countries in the replacement of 2012 are Venezuela, Nigeria, Algeria, Congo and Libya that are the main -- and Russia. Yes, Russia [indiscernible], yes, that are the main contributors coming from the project we sanctioned in 2012.
Alastair Roderick Syme - Citigroup Inc, Research Division: Can I just confirm that there's still -- there's none of Mozambique booked at this point?
Claudio Descalzi: No, no. We can put as a P1, a nondevelopment P1, when we take the FID in 2014.
Alastair Roderick Syme - Citigroup Inc, Research Division: Okay. Can you say either in absolute or percentage terms roughly how much of Kashagan is booked at this point?
Claudio Descalzi: With Kashagan -- the Kashagan, we have nothing this year because we already booked because we took the FID. Then we will -- during the production, after the production, we can book something following the setup of the different wells. But this year, there is no Kashagan.
Operator: Next question comes from Mr. Mark Bloomfield from Deutsche Bank.
Mark A. Bloomfield - Deutsche Bank AG, Research Division: Two questions, please. First of all, on Kashagan. Just wondered if you can give us any sense of whether there's going to be a significant working capital build prior to that project starting commercial production. And on that point, perhaps you can give us some sense of when you expect to book first revenues. Also on Kashagan, perhaps you can give us a sense of what you see the exit rate at the end of 2013, please. The second question is on Refining & Marketing. A very strong result in the fourth quarter despite indicating margins and throughputs essentially flat year-over-year. Perhaps you could quantify for us the year-over-year contribution from efficiency gains and operational improvement and maybe give us some sense of what the expected benefit from those factors is going to be in 2013.
Paolo Scaroni: Very good. Claudio will answer the first one. No, maybe Massimo will answer the first one.
Massimo Mondazzi: The first one about the working capital related to Kashagan, I don't have any significant value to our line [ph] in this respect. So there will be no -- any significant amount capitalized as far as Kashagan.
Claudio Descalzi: So -- and I have -- by the -- in answer to your question about production is by the end of 2013 or early 2014, we aim to reach about 200,000 barrels per day, and then we -- they grow, going up up to 370,000 during 2014.
Massimo Mondazzi: Okay. And as far as the Refining & Marketing margin is concerned, obviously, the shape of the result we got quarter-by-quarter in 2012 is related to the trend of the margin. So by definition, we benefited from the spike we had in the third quarter. And then as far as the internal effects are concerned, what I could have [ph] is that we gained something like EUR 100 million in terms of efficiency, so reduction in fixed cost during the 2012. And we also benefited from the partial closure of some sites we have in Italy that are the one, for example, Venice, that now is under a transforming process to a biorefinery, and some other sites, among which Gela, that has been partially stopped. And this result in a total benefit for our margin.
Operator: Next question comes from Mr. Michele della Vigna from Goldman Sachs.
Michele della Vigna - Goldman Sachs Group Inc., Research Division: I'd like to ask 2 questions if I may. The first one is on E&P. We've seen a big improvement in the realizations for both oil and gas in Q4 versus Q3. I was wondering what the key drivers are there. And then my second question is regarding buybacks. You approved a program with your board. I was wondering under which scenario of oil price or further disposals you would start to use that to avoid going into an inefficient balance sheet.
Claudio Descalzi: Very good. So with the first question, the good increase [ph] comes from mainly Libya, that -- the good production with regards -- in the last quarter. And the U.S., Italy -- the U.S., Italy and Iraq -- in Iraq that we have some good increase. That are the main contributors in -- and Ecuador, sorry. That are the 4 main contributors in the last quarter.
Paolo Scaroni: Now as far as the buyback program is concerned, you are aware that at the last AGM, we acquired the authorization of buying back up to 10% of our shares. Now we will talk again about this subject at our strategy presentation in March, in which we'll present the whole plan for cash back to shareholders.
Operator: Next question comes from Mr. Jon Rigby from UBS.
Jon Rigby - UBS Investment Bank, Research Division: I've got 2 clarifications, and then 1 bullet point. On the guidance you've given for 2013 on production, can you explain what your adjustment is if you've done any for Elgin/Franklin? So is this an underlying number? And can you just -- are you able to lay your hands on a number of what Elgin/Franklin did contribute to your production in 2012? And also on your Gas & Power guidance, going back to the comments right at the start of the call on the Q&As, does the guidance that you're providing take into account any expectation on the retroactive adjustments that you mentioned? And then the second question -- that was a double-part first question. The second question is around Saipem. And I know, Mr. Scaroni, you made some comments, I'm not sure how official they were or not, a couple of days ago about Saipem. But it does raise the question, a point that you've made before of having equity ownership and no control; if the sort of arm's length investment that you have runs the risk of damaging both Eni and your personal reputations? And I just wonder whether you were prepared to just to expand a little bit about that in the aftermath of what's taken place.
Paolo Scaroni: Okay, very good. Claudio on the first one. I will answer the other.
Claudio Descalzi: So the first on Elgin/Franklin. Our hypothesis was to have a start-up in March, and that has been confirmed by the operator, Total, and also by the authority in U.K. So that is -- we will start, as you know, with 4 wells, 2 plus 2. And then during the year, if all the technical issue will be fixed there, we can add additional 2 wells. That is the program. In 2000 and -- for further years, we have a -- so for the 3 months, we had a loss of 88,000 barrels. In 2012, Franklin for us was a loss of 20,000 barrels per day. That was the average.
Paolo Scaroni: Okay. On the guidance on Gas & Power for 2013, let me try to give you some insight into the various moving parts. First, when looking at year-on-year comparisons, you should remember that 2012 included a number of extraordinary positive and negative impacts from supply and sales contract negotiations. While we do not disclose the individual numbers, you should bear in mind, and we said it before, that on a underlying basis, Gas & Power was not profitable in 2012 as our supply does not yet reflect the deteriorated market conditions. Now how this situation will evolve in 2013? It's a kind of a complex answer to give you, but it requires several elements. Now first of all, gas and electricity demand will continue to be weak in our hypothesis. On the back of an extremely weak 2012, we are expecting only a very limited improvement in Europe and none in Italy. Now the negative market complex [ph] coupled with the significant take-or-pay pressures accumulated not only by us but by all major operators mean we expect competition to increase further, especially on the Italian market. Already we have seen the Italian hub price, which we call PSV, trading below European hub prices, a trend which has impacted the 2012, 2013 commercial campaign significantly. Now given the increased pricing pressure, absent any change in supply costs, we will see Gas & Power results well below those achieved in 2012 on an underlying basis. So the question becomes, what will happen to supply costs in 2013? Now on the assumption that we will close all the negotiation in 2013 and including the retroactive benefits of the negotiation we are working on, we expect to limit the impact of the market deteriorations. In that case, 2013 would look similar to the underlying 2012. I don't know if I gave you an answer, but it's a kind of complex guidance to give you in such a complex market. Now on Saipem, your question is, in fact, does what has happened change our view on what is an appropriate shareholding in Saipem? Now let me first point out something which has gone somewhat forgotten, that despite the recent share price fall, Saipem has been an extremely good investment for Eni. Investors who bought the shares at the listing in '99 have made their money 18x over between the reinvested dividend and share price appreciation. And the total shareholder return in the last 10 years has been 300%. This using as numbers -- the today numbers, not the numbers of 2 months ago. As I've said, reviewing our long-standing relation with Saipem is not a priority at this time. However, just to give you some insight into our thinking, as we have shown in 2012, we have a pragmatic view of our corporate structure, where our North Star is shareholder value creation. Today, to date, our view has been that on balance, disposing of any stake in Saipem would not be in the interest of our shareholders. That's because we judged that the synergy between the 2 businesses on top of Saipem's extremely strong prospects were worth the complexity of consolidating and guaranteeing the liabilities of a company we don't control and can't control by law. And because we did it -- if we did it, we would damage its business model. Now we periodically review the advantages and disadvantages of our corporate structure. And our judgment of the best way to create value for our investors may change over time. And what has happened recently might contribute to it.
Operator: Next question comes from Ms. Kim Fustier from Credit Suisse.
Kim Fustier - Crédit Suisse AG, Research Division: Just 2 questions if I could. Firstly, if I could ask the -- I guess, the usual question on Galp. I believe we're approaching the end of the lockup period on the 28th of February. And I was wondering if you could offer any thoughts or comments on how you see the remaining stake. And my second question, I guess, is on Chemicals. I think last year you guided to a EUR 400 million EBIT improvement by 2015 but actually made a record loss in 2012. So do you still believe that you're on track to achieve that target?
Paolo Scaroni: Okay, Massimo, the first one, and Daniele Ferrari, the second one.
Massimo Mondazzi: Okay. Sorry, but I cannot give you clearly any guidance as far as Galp is concerned. So what we can confirm is that our idea is not to take this position for a longer period. But we are not able to give you any clear guidance about when and how we will go on disposing these shares.
Daniele Ferrari: Okay, about Chemicals. 2012 was the year when we started to engineer. We announced that the new strategy at the beginning of 2012. We changed the name. We started to engineer, then intervention on the structural reforms we had to do in our industrial system. And we are going to apply those starting from August this year. So the full effect on what we have under control will start to happen from August onwards. This means that restructuring of the poor performing side, change of our portfolio. So alongside the engineering of that, during 2012, we have strike a few deals to reposition ourselves internationally in most growing market and interesting markets for the Chemical business. It has been an unprecedent combination of scenario for us in terms of raw material price and commodity price of our chemicals, which made us to make an unprecedent loss. But we are confident that this will come under our control during 2013.
Operator: No more question at the moment. There is one more question from Mr. Andrea Scauri from Mediobanca.
Andrea Scauri - Mediobanca Securities, Research Division: Just a follow-up question on gas and marketing guidance, detailed guidance that you just provided. The guidance that you said, does it include a potential positive one-off from the renegotiation of contracts that you are implementing? And do you expect to close in 2013 or not?
Paolo Scaroni: Yes. I would say yes. We expect also -- we included in this guidance some positives.
Andrea Scauri - Mediobanca Securities, Research Division: I don't know if you can answer, but is it possible to quantify or not?
Paolo Scaroni: No, no. We are in the middle of a negotiation, and of course -- in the middle of several negotiations. And it would not be appropriate to give you more details now.
Operator: Next question comes from Mr. Jason Kenney from Santander.
Jason Kenney - Grupo Santander, Research Division: Just a short question. I'm sorry if you did mention it earlier, but I joined the call late. Just on the tax guidance for this year. Obviously, a surprisingly strong tax charge in the fourth quarter with the hit, EUR 230 million. But if you guide for what 2013 tax should be and how we should think about tax with a rising upstream contribution, that would be great.
Massimo Mondazzi: Yes. The guidance I can give you as far as 2013 is concerned is a slightly higher tax rate than the tax rate we experienced in 2012 due to the fact that, as I would say is clear after the discussion, the contribution of the Italian businesses will be poor in 2013 versus an increase in the contribution from the E&P businesses abroad that suffer a higher tax rate. And so that's the reason why the guidance would be slightly higher.
Camilla Palladino: Great. Thank you. Well, perhaps if there's no more questions, we can wrap this up. If you do happen to have any more, you can get in touch with us at the Investor Relations number. Thank you very much.
Operator: The control room confirmed, there are no more questions. Ladies and gentlemen, the conference is over. Thank you for calling.